Kyu Sul Choi: Good afternoon. My name is Kyu Sul Choi, the Head of IR at KB Financial Group. Thank you for taking part in today's earnings conference of KB Financial Group for year 2013, despite your busy schedules. The access to this conference is being provided via Internet and conference call, being webcast realtime for Korea and abroad. During the Q&A, you may call in to ask questions. Joining us in today's earnings conference, we have with us KBFG's CFO, Woong-Won Yoon; and executives from KBFG's 5 subsidiaries. Your conference will consist of the earnings presentation by our CFO, Woong-Won Yoon, on the earnings results for year 2013, followed by a Q&A session, at which time you may call in for questions. Let me now present our CFO, Woong-Won Yoon, for the earnings presentation for year 2013.
Woong-Won Yoon: Good afternoon. My name is Woong-Won Yoon, the CFO of KB Financial Group. Before starting the earnings conference, I would like to extend my sincere apologies for the recent customer data compromise. Deeply feeling the magnitude of this circumstance, the management at KB Financial Group promises to build the most robust information protection and management system to prevent any repeated incidents of this kind. We will also do our utmost to minimize the negative impact from this incident, while making extensive efforts to rebuild the customer's trust. Once again, my deepest apologies and appreciation are extended to all of you who for your unwavering support. First, let me give you an overview on the business results last year. 2013 was marked by proactive cost controls and continuous risk management, which resulted in lower G&A and provision for credit losses, stabilizing the expense front. In the meantime, the persistent margin squeeze and low growth led to declining interest income, compressing both the top line and the overall profitability. However, we anticipate 2014 to be a year of solid loan growth, in line with the economic growth rate and modest enhancement in NIM, resulting in the rebound in the top line. On the expense front, we expect a sustained stabilization following the previous year. KBFG will do its best to boost the bottom line by pursuing a business strategy focusing on the basics. Allow me to present the earnings results for 2013 for KB Financial Group. Let me remind you that the existing presentation structure has been revised into a group consolidated format to be more closely in line with the Financial Group's earnings and trends. We also added some interest areas of the investors for your convenience. Let me begin with the financial highlights. KBFG's 2013 annual profit posted KRW 1,283,000,000,000. The year-on-year reduction by 25.9% was due to the contracting NIM, as well as the BCC-related equities method [ph] loss and other one-off losses. The profit for Q4 was affected by the year-end NPL ratio management-related sales loss on loans, the ERP expense and BCC equity method loss and other seasonal factors leading to G&A increase, recording a 34% quarter-on-quarter decrease at KRW 281.5 billion. As of the end of 2013, the total asset, including trusts and AUM, stood at KRW 380 trillion, rising 4.5% year-to-date. The bank's loans in KRW in card receivables expanded 1.9% and 11.5%, respectively. The cumulative group NIM for 2013, due to the interest rate decline and narrowing loan-deposit spread leading to margin compression, came down 26 basis points year-on-year to 2.62%. The Q4 NIM came in at 2.57%, affected by the one-offs such as the accounting changes for credit card factoring receivables, NIM increased 2% quarter-on-quarter. I will elaborate on the details later. Next page, please. The 2013 annual provisions for credit losses amounted to KRW 1,413,800,000,000, down 12% year-on-year, thanks to the past several years' preemptive efforts to deal with NPLs and to improve asset quality. The provisioning for both the bank and the group is maintaining a stable level. Especially during Q4, despite the year-end NPL ratio guidelines and the related sales and write-offs of NPLs, the one-off write-backs from the debt-to-equity swap at Taihan Electric Wire reduced the PCL by 38% quarter-on-quarter to KRW 281.8 billion. The 2013 annual credit cost to the group total asset ratio marked 0.49%, improving 7 basis points year-on-year. The Q4 credit cost improved 24 basis points quarter-on-quarter to 0.38%. If you look at the top right graph, showing the NPL ratio and delinquency trends, the bank and credit card NPL ratios posted 1.63% and 1.56%, respectively, with the delinquency ratios of 0.77% and 1.85%. These are sizable enhancements across the board quarter-on-quarter. According to the Basel III rules implemented since last December, the group and Bank BIS ratios reported 15.37% and 15.47%, respectively, sustaining one of the best capital adequacy in the financial sector. For the impact from the introduction of Basel III, please refer to the last page of this presentation. I would like to discuss the group profitability overview on Page 6. The group's 2013 annual net interest income was KRW 6,522,800,000,000, coming down 7.3% year-on-year due to the narrowing NIM, among others. The Q4 net interest income climbed 4.3% quarter-on-quarter to KRW 1,645,300,000,000 from the accounting changes on credit card factoring receivables. Up to last Q3, the card factoring receivables related credit guarantee insurance premium was deducted from interest income. However, from this quarter on, it is recognized as fee expense. Such accounting treatment was recognized in full, which led to a KRW 43.9 billion increase in interest income, while KRW 30 billion reduced from the fee income. Annual net fee and commission income marked KRW 1,479,300,000,000, reducing 5.6% year-on-year. Including bank assurance fees, the overall fee income of the bank fell short of the expectations. The fee and commission income for Q4 contracted 6.6% quarter-on-quarter due to the earlier mentioned card factoring receivable accounting change. Net other operating income for 2013 posted KRW 548 billion in net loss, improving year-on-year. The decreased impairment loss from the shared swap with POSCO and HMM and the CVA-related write-back on SPP and Hanjin Shipbuilding from the stronger KRW led to such results. Net other operating income for Q4 dropped quarter-on-quarter due to the lack of one-off gains, such as the sales gain on HMM shares, which took place in Q3, as well as the sales loss on loans amounting to KRW 98.8 billion in Q4. The G&A expense for 2013 came in at KRW 3,983,600,000,000, up 3.6% year-on-year. For Q4, the G&A rose 7% quarter-on-quarter to KRW 1,025,100,000,000. As you are well aware, seasonalities tend to push up the G&A every fourth quarter. There also existed the education tax refund back in 2012. Considering all these factors, the cost control is still being maintained. From the following page, I will go into more detail about the earnings results. First, the group net interest income. Net interest income declined 7.3% year-on-year. It was mainly because the NIM contraction outpaced the 1.9% loan growth. As you can see on the bottom, which shows the interest income trends of the bank and credit card, the bank interest income continued a downward trend each quarter since 2012 from the market rate fall and contracting loan deposit spread. Relatively speaking, the credit card interest income is sustaining a stable trend. The group NIM, including the merchant fees in the annual cumulative terms, reached 2.62%, down 26 basis points from last year's 2.88%. The Q4 NIM was 2.57%, rising 2 basis points quarter-on-quarter. As was mentioned before, the reason for the NIM increase in Q4 was due to the higher interest income from the accounting change on card factoring receivables, while the bank loan interest refund brought down the NIM on the other side. Amidst such mixed impacts, the net effect was a one-off increase of 5 basis points. If you strip out the one-off, the NIM for Q4 was 2.52%. For your information, the bank loan interest refund took place all at once on certain secured loans with deposits and guarantee letters as collaterals, which were deemed overcharged. Since the big drop of NIM last year, we are making various efforts to better manage margin, such as rationally improving the internal interest rate scheme. As such, we expect a gradual quarterly rising trend this year. Let me now touch upon the net fee and commission income. The group's annual net fee and commission income recorded KRW 1,479,300,000,000, down 5.6% year-on-year. If you take a closer look, the expense reduction efforts, such as contraction in joint marketing services increased the credit card fees. On the other hand, the bancassurance agency commission dropped significantly, along with the lower financial investment-related commission. As for the net fee and commission income for Q4, on the back of the weak overall core fee income, the aforementioned factoring receivable accounting change temporarily pushed up the commission expense, lowering the net fee and commission income by 6.6% quarter-on-quarter to KRW 347.7 billion. I will elaborate on the bank and card net fee and commission income on the next page. On the top left graph, on the bank net fee and commission income, the share of the bancassurance commission is consistently trending down. Since the extraordinary spike in bancassurance commission from strong marketing back in 2012, the deteriorating interest rate competitiveness of the insurance products from the falling policy rate and tax benefit division brought down the overall bancassurance results in the banking sector. As shown on the bottom, the inflow of bancassurance premium for 2013 as a whole stood at KRW 1,812,700,000,000, down 56% year-on-year, while the fee income decreased KRW 112.7 billion year-on-year. Card net fee and commission income, despite various regulations such as emergency reduction, went up 17% year-on-year, boosted by cost control measures, including reduced joint marketing services. As for Q4, the factoring accounting change among others compressed the net fee and commission quarter-on-quarter by 65.2%. Let me move onto the other operating income on the following page. In 2013, the other operating income improved significantly due to the CVA write-back on SPP and Hanjin Shipbuilding, following the drop in impairment loss and equity swap with POSCO and others, as well as the falling exchange rate. During Q4, the sales loss on loans of KRW 98.8 billion took place in the process of meeting the year-end NPL guidelines for the bank, while the CVA write-back decreased. Also, the Q3 one-off gains, such as the sales gain on HMM shares, dissipated, resulting in a quarter-on-quarter drop. Looking at the major line items. The net gains on securities posted KRW 277.9 billion for the year, pretty much on par with the previous year. Despite the lower impairment loss from the stock swap with POSCO, among others, and the sales gain on securities, the rise in bond yield led to a significant reduction in gain on AFS, including principal protection type trust. For Q4, the net gains on securities stood at KRW 65.9 billion, down 65% quarter-on-quarter. The rising bond yield and the resulting valuation gain reduction on the bond holding, together with the lack of one-off gains seen in Q3 like the sales gain on HMM shares, led to such results. Net gains on derivatives and foreign currency translation declined year-on-year. As was explained, the CVA write-back from SPP and Hanjin Shipbuilding, affected by the strong KRW, was a major contributor. As for Q4, the lower CVA write-back led to a reduction by KRW 8.4 billion. I would now like to discuss the G&A, PCL and non-operating income. 2013 group annual G&A expense came in at KRW 3,983,600,000,000, a 3.6% increase year-on-year. But considering the education tax refund in 2012, it is a near 1.4% increase per annum. Q4 G&A is KRW 1,025,100,000,000, a 7% increase Q-o-Q. But in light of the early retirement expense of KRW 21.5 billion in Q4 for the bank and other year-end seasonal factors, expenses are well under control. Looking at the graph on the top right-hand corner, group's cost income ratio on the back of decline in interest income and softening top line, has turned upward slightly, but we expect top line profitability to improve driven by future NIM growth eventually turning the cost income ratio curve downward. Q4 provision for credit loss. For the purpose of managing the bank's year-end NPL ratio, there were NPL write-offs and sales in the amount of KRW 1,284,900,000,000. However, there was also a write-back of KRW 99.7 billion related to Taihan Electric Wire and other one-offs, lowering PCL 38% Q-o-Q to KRW 281.8 billion. Bottom right, you will see the credit cost trend. And in 2013, PCL over total asset was 0.49%, lowest in 5 years. For Q4 non-operating income, there was KRW 73.6 billion of BCC-related equity method loss and KRW 27.6 billion from Samyung ENC's debt-to-equity swap, increasing the size of the loss over Q-o-Q basis. Next page, please. Now moving onto the group's financial position. As of December 2013, group's total assets based on the current balance sheet is KRW 291.9 trillion. Loans in won and credit card factoring receivables were the main factors driving up the figure 2.1% year-to-date. Group shareholders' equity increased 3.6% year-to-date to KRW 25.7 trillion. As of December end, group's total asset, including trust and AUM, is approximately KRW 380 trillion, increasing 4.5% year-to-date. Please refer to the graph on the right for asset size and AUM-related information for different subsidiaries. Next is group's assets and liabilities. First, bank loans in KRW as end of December is around KRW 188 trillion, increasing 1.9% year-to-date. But compared to September end, there was a slight decline. This is due to around KRW 1.3 trillion of write-offs and sales of loan receivables. And typically, there is a year-end seasonal factor, as companies tend to make repayments for the purpose of managing their debt ratio. For household loans, on the back of numerous government policies to promote the property market, housing transactions increased, driving a lending growth of 2.5% year-to-date. If one includes securitized loans, the growth is 6.5% year-to-date and 1.2% quarter-on-quarter. Corporate lending increased 1.1% year-to-date, but due to Q4 seasonality factors, which I mentioned previously, declined 1.1% Q-o-Q. We will continue to have focus on risk management in implementing a steady lending policy. And for the household sector, we will solidify our market position in the retail sector with the core focus on prime lending. For corporate loans, we will strive for fundamental base growth with the focus on portfolio improvement and be selective in finding opportunities for growth, focusing on both sound SMEs and bottom line. Credit card receivables as of December end is around KRW 15 trillion, driven by increases in factoring and card loans, it showed growth of 11.5% year-to-date and 4.3% over September. However, cash advance receivables declined with more rigorous regulation and origination standards by the regulators. Next page, please. As of December end, the bank deposit in KRW is around KRW 194 trillion, an increase of 1.5% year-to-date and 0.1% over September. Due to efforts to attract low-cost deposits and settlement accounts, core deposits increased 10.3% year-to-date and 3.8% over September. However, time deposit is showing a slight downward trend in view of the funding position management, which is aligned with the overall lending growth and due to deposit rate declines. Debentures in KRW as of December end stand at around KRW 13 trillion. On the bottom left graph, you will see the bank loan-to-deposit ratio, which is 98.6% as of end of December, and we foresee no significant obstacles in maintaining the ratio below 100% going forward. Next is on the group's asset quality. This slide shows KB Kookmin Bank's asset quality. Bank's NPL ratio is 1.63%, end of December, improving 30 basis points over September's 1.93%. Such large improvement is mainly due to KRW 1,284,900,000,000 of NPL write-offs and sales. But even if we exclude this impact, new NPL formation has continuously declined, overall maintaining a quite sound trend. For more details on the size of the write-offs and sales, please refer to the bottom table. As of December end, NPL coverage ratio, inclusive of reserve for credit losses, came in at 120.2%. On the back of NPL write-offs and sales, delinquency ratio improved 28 basis points Q-o-Q, recording 0.77%. Actual delinquency, excluding write-offs and sales impact, with the decline in new formations, improved on a Q-o-Q basis. Looking at the graph's bottom right, household and corporate delinquency rates as of December end was 0.67% and 0.88%, respectively, declining 25 basis points and 32 basis points Q-o-Q. Next page. Next is asset quality for KB Kookmin Card. NPL ratio as of end of December is 1.56%. During this quarter, there was a decline in new NPL formation and a slight increase in the size of the write-off compared to the previous quarter, resulting in 19 basis points decline Q-o-Q. NPL coverage ratio, inclusive of the reserve for credit loss, is 336.1% as of December end. With new delinquency formation continuing a steady downward trend and realignment of internal collection organization, as well as our overall efforts to improve soundness, delinquency ratio declined 17 basis points Q-o-Q to 1.85%, sustaining a steady trend quarter-over-quarter. Next is on loan loss provisions and credit costs. The bank's 2013 annual loan loss provision is KRW 1,032,100,000,000, a decline of 17.5% year-on-year. Q4 LLP is KRW 155.1 billion, a 55.9% decline Q-o-Q. So far, we have been proactive and conservative in terms of our provisioning approach. And with overall improvements in asset quality, LLP is gradually showing a declining trend. A different sector, for household provision, the figure came in at KRW 363.4 billion for the whole year, declining 8.6% year-on-year. And in Q4, it was KRW 110.9 billion, a 6.4% decline Q-o-Q. Full year corporate LLP declined 21.6% year-on-year to KRW 668.7 billion. In Q4, as mentioned before, despite sizable write-offs and sales to control NPL ratio at the year end, there were one-off factors, such as write-backs related to Taihan Electric Wire equity conversion, so the Q4 figure was 81% lower Q-o-Q and recorded KRW 44.2 billion. 2013 full year credit card LLP is KRW 347.3 billion, a slight increase on a year-to-year basis. And Q4 loan loss provision is KRW 106.8 billion, increasing 19.5% Q-o-Q. Such increase is due to a more granular provisioning standard being applied to outstanding balance on revolving receivables, resulting in approximately KRW 22.5 billion of additional provisions. Aside from this impact, quarterly credit card provisioning is at a steady level. Looking at the bottom left graph, 2013 KB Bank and credit card's LLP over total asset is 0.64%, improving 10 basis points Y-o-Y. On the right-hand side, you will see credit cost trends by different sectors also displaying improvement over the previous year. Following pages include group subsidiaries, business indicators and Basel III related impact for your reference. Now this has been our 2013 full year earnings presentation by KB Financial Group. Thank you very much.
Operator: [Operator Instructions] We will take the first question from Morgan Stanley, Mr. Hojoon.
Hojoon Lee - Morgan Stanley, Research Division: I have the following 2 questions. First of all, it has to do with your credit card business. I believe that your results were pretty sound in 2013. But this year, because of the lack of one-off gains and also there would be the suspension of new user acquisitions, some operation suspensions. So what is your outlook on the card business in terms of the profitability and what would be the impact coming from the operations suspensions? Second question, I believe that the real estate market is showing some signs of recovery. So relatedly, do you have any specific targets for mortgage loans for 2014? And do you think that it could possibly boost the NIM going forward?
Woong-Won Yoon: Yes. Let me answer your questions. First of all, regarding the credit card-related operation suspension ruling, you asked about the financial impact. I could discuss both direct and indirect impacts. When I say direct impact and the related expenses, I'm referring to diverse types of direct expenses. For instance, there can be some reissuance of cards that will involve some expense. And there are some postal expenses, as well as the exemption placed on the SMS text message related fees being exempted. So altogether, we are looking at about KRW 36 billion. But already -- out of that amount, about KRW 10 billion was already reflected in Q4 numbers already. Aside from such direct impact, you are also asking about the possible impact going forward coming from the suspension of operations, but it's difficult for us to give you an exact number at this particular juncture. But as we mentioned before, this suspension of operation only has to do with acquisition of new customers and new sales activities only. Therefore, when it comes to existing card accounts. For those cardholders with card loan optionalities and cash advance limits already placed on them, there will not be any disturbance to such services. So of course, we could experience some type of indirect type of erosion of a certain level of loyalty and some convenience on the part of the customers. We are making all our efforts to minimize the impact. Your second question had to do with the mortgage outlook for 2014, and you also linked your question with our NIM outlook as well. Last year, when it comes to the retail banking, we mainly led the loan growth mainly around the mortgage loans. So going forward, in 2014, we believe that the real estate market will not be that weak after all. If you recall, in 2013, the market actually grew, mostly led by the non-banking sector rather than the banking sector. Going forward, I think that there will be continuing demand for mortgages. So I believe that, compared to 2013, our basic sales and business direction will not be changing too significantly. As for NIM, we believe we pretty much bottomed out in Q4 2013. So starting from the first half, especially from the first quarter of this year, we believe that it will begin to gradually rebound. Of course, we have to keep in mind that the first half NIM for 2013 was pretty high. So on an annual basis, I believe that the annual NIM for 2014 might be slightly hovering below that of 2013, but we will do our best to minimize the negative impact.
Operator: We will take the next question from Mr. Chung Uk Choi from Daishin Securities.
Chung Uk Choi - Daishin Securities Co. Ltd., Research Division: I am Chung Uk Choi from Daishin Securities. My first question is on a non-interest aspect other than the loss on the sales of the loan receivables, I think there is other one-off, especially, the NHS-related aspects. I think some other banks have recorded certain figures. So could you elaborate on that? Second question has to do with BCC. I understand is that your book value for Q3 was KRW 147 billion, but you mentioned -- I think it was KRW 73.6 billion, so that's about half the previous size. So I am wondering, was this impairment actually booked based on some of the due diligence that you've implemented and how did you come up with this number, KRW 73.6 billion? Because basically when you write down loans [ph] and people don't expect for additional impairment losses, but that didn't seem to be the case. So I am wondering whether would there be future cases of additional write-downs for the impairment loss of BCC. Is there that possibility going forward? My last question is that, for KB Card, you've mentioned potential financial impact and you mentioned direct cost and financial cost, we could define some of the assumptions and we could run some scenarios. But one aspect that's a little bleak or opaque has to do with the lawsuit. And I know that the lawsuit has not yet been emerged, but Lotte Card has mentioned that they're even considering to compensate people for psychological impact. But when you calculate your plans for your profit going forward, do you also have to consider those aspects as well?
Woong-Won Yoon: For the non-interest line items, and you talked about some of the one-offs, in terms of the National Housing Fund, we have mark-to-market valuation and the losses had been reflected. In terms of the BCC question, if you look at it on a book value basis, we have about KRW 68 billion remaining on our books. Related to the BCC, we have conducted a more rigorous evaluation on the individual aspect, and we have booked for the impairment losses. The basis for this calculation is that, up to-date, for individual assessments to be implemented, there are differences in standards between ours and the local authorities' guideline. So in order to make sure that we are objective, together with the outside accounting firm, we have recalculated the figure. And we have aligned the accounting standards, hence this impact. For additional write-downs going forward, in our judgment, we believe that, realistically speaking, there is not a high possibility for this and as not -- as BCC operations become more normalized rather than to say additional loss, I would think that we are more focused on normalizing BCC -- or business operations. And you talked about potential lawsuits related to the data breach. It was already mentioned in the press that the -- actually, the regulatory authority and the investigational bodies have said that there is not any further damages coming from this data breach, and there had not yet been actual cases of such. And it's very cautious for us to be talking about the specifics related to the lawsuit, but we believe that even if you look at the past precedents, only the liabilities were applied in a very limited basis. So as of this point, we do not think that the risks related to the potential classes [ph] lawsuit is not that high. I hope that answered your question.
Operator: We'll take the next question from SK Securities, Jung-hyun Bae.
Jung-hyun Bae - SK Securities Co., Ltd., Research Division: Earlier, you mentioned that starting from Q1 of this year, you expect the margin to begin to recover. In my view, during the past Q4, if you exclude the one-off margin enhancement factors, I think that -- I'm wondering whether you're guiding us that your NIM would be picking up starting from Q2, perhaps, or Q1. Now from the banking side of the business, your low-cost deposit increased quite a bit. Despite such factors, what is the reason for the bigger margin contraction compared to other banks? I do understand that you are very sensitive to interest rate movement, but that doesn't explain everything. So I was wondering why your margin contraction is more severe. Could you explain about that? And the inflow of low-cost deposits -- now with regards to this low-cost deposit, do you think that such inflow will continue to grow in a solid fashion throughout the rest of the year, or do you think that we should anticipate an outflow?
Woong-Won Yoon: Yes. I'll give you a very brief answer about that. First of all, regarding margin, you asked a question about that. The contraction in margin mainly has to do with the retail side of the business. As you are well aware, we have been conducting home equity loans for many, many years. And in the past, there are some outstanding home equity loans that were -- that had very high interest rates. But in the process of re-aged loans being refinanced, we had to lower the interest rate quite a bit. So compared to other banks, that did not have such high -- big portfolio of home equity loans. We were impacted in a bigger fashion. Please understand it this way. We believe that, going forward, especially as we go into the second half of this year, our margin will begin to pick up. And you were concerned about the inflow of the low-cost deposit and you are wondering whether it will continue. I believe that, in the market, there is ample liquidity, that's one thing. And also, secondly, in order to secure funding, we have been very much focused on winning more number of settlement accounts. I think that led to such bigger inflow of low-cost accounts. And because we were able to acquire more number of settlement accounts, we are securing and acquiring more steady flow of low-cost deposits. So we don't expect any significant outflow in the near future.
Operator: From Kiwoom Securities, Young-Soo Seo.
Young-Soo Seo - Kiwoom Securities Co., Ltd., Research Division: I would like to pose 2 questions. After the data breach incident, on the non-banking side which includes securities and insurance, there are some concerns that M&A initiatives could be delayed or such M&A initiatives could actually fail. There seems to be some concern in the market. So could you provide us what your position is related to your M&A endeavors? My second question has to do with your household loan. Now you have the home equity as well as mortgage. If you look at home equity, in Q4, it fell. However, your mortgage loans actually increased. So could you explain as to the reason behind this?
Woong-Won Yoon: After the data breach, and you talked about the potential change in the M&A stand, realistically speaking -- and please bear in mind, I can't provide you a definitive position. But when it comes to M&A endeavors, our tradition has been quite steady. We believe that, currently, in the market, there are assets that are coming out into the market that could help us further strengthen our non-bank portfolio. So those assets that could really contribute to diversifying our portfolio or strengthen our base, if we believe that a certain acquisition is helpful for us in strengthening our business portfolio, then we will very actively discover those M&A opportunities. With regards to what impact the data breach incident would have in our M&A endeavors, we have not yet really delved into that aspect. In terms of your home equity question, I haven't fully understood your question. So I will provide you the answer through our IR team.
Unknown Executive: Thank you very much. We will make sure that your answers are fully addressed through the IR department later.